Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hibbett Sports Fourth Quarter 2012 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, March 9, 2012. I would now like to turn the conference over to Mr. Mickey Newsome, Executive Chairman. Please go ahead, sir. 
Michael Newsome: Thank you, operator. With us also is our CEO, Jeff Rosenthal; our Senior VP of Finance, Gary Smith; our Senior VP of Merchandise and Marketing, Becky Jones; and our Senior VP of Store Operations, Cathy Pryor. We appreciate you being on our call today, and we appreciate your interest in Hibbett Sporting Goods. 
 But before we can start, Gary Smith will cover the Safe Harbor language. 
Gary Smith: Good morning. In order for us to take advantage of Safe Harbor rules, I would like to remind you that any projections or statements made today reflect our current views with respect to future events and our financial performance. There is no assurance that such events will occur or that any projections will be achieved. Our actual results could differ materially from any projections due to various risk factors, which are described from time to time in our periodic reports with the SEC. 
Michael Newsome: Now our President and CEO, Jeff Rosenthal, will speak with you. 
Jeffry Rosenthal: Good morning. As you know from our press release this morning, our fourth quarter earnings per share were up $0.59 versus $0.44 a year ago. Overall sales for the fourth quarter increased 10.1% to $190.7 million. Comparable store sales increased 7.2%. 
 For the quarter by month, sales were up: November, 9.62%; December, up 7.13%; and January, up 4.51%. We saw a tax refund shift into February. 1/3 of our sales gain is coming from price and 2/3 from increased transactions or traffic. 
 From a real estate perspective, we opened 21 new stores, expanded 2 high-performing stores and closed 4 underperforming stores, bringing the store base to 832 stores in 26 states. For fiscal 2012, the company opened 52 new stores, expanded 15 high-performing stores and closed 18 underperforming stores. For fiscal 2013, the company expects to open at least 55 to 60 new doors, expand 15 high-performing stores and close up to 18 underperforming stores. We still have identified over 400 additional markets in our existing 26-state area, where we can open stores and we can easily grow to over 1,300 stores. 
 We have started very strong in comparable sales through yesterday, with sales up low double digits on top of high single digits last year. We continue to improve in all areas of our business and have plenty of opportunities to get even better. With continued investment in technology and people, we are confident in the Hibbett strategy. 
 I want to thank all of our employees for their hard work and look forward in delivering another great year. 
Michael Newsome: Thank you, Jeff. Next, our Senior VP of Merchandise and Marketing will speak with you, Becky Jones. 
Rebecca Jones: Good morning. Fourth quarter comp results were driven by Activewear, licensed apparel, accessories and our running and kids' footwear categories. Branded Activewear achieved strong double-digit comps in all genders and sizes. We saw exceptional results with our fleece and jacket program. Under Armour, The North Face and Nike products were top performers. Men's lifestyle business also did very well, led by Jordan, Levi's and Adidas Originals. The licensed apparel business posted high single-digit comps and was bolstered by the national championship win by the University of Alabama. Product sales of the Alabama Championship were approximately double that of the University of Auburn National Championship sales from a year ago. We were pleased with the execution of the program by the buying office, our marketing department, the store associates and our supplier partners. Sell-through of this product was very good, and our inventories are clean going into the first quarter. 
 Accessories continues to grow and post high single digit comps. Our socks business is very healthy, with all categories experiencing double-digit growth. Nike Elite socks were the hot item for this season. 
 Our sunglass categories took advantage of a mild winter. Oakley and Costa continue to be the drivers. Under Armour accessories have been very well-received by the consumer, and we should see sustainable growth there. 
 Footwear posted a single-digit comp for the quarter. Kids' footwear business was particularly strong. Lightweight running is the driver for all areas. Nike Free, Under Armour Micro G, Nike Dual Fusion, Reebok Zig, Adidas Originals and Retro Jordans were leading performers. 
 Our lifestyle products proved challenging. However, we've seen this trend improve in the first quarter. The equipment business was flat for the quarter. The inflatable and sports medicine business is strong, and we are experiencing good baseball bat business due to the BBCOR change. Top-performing suppliers were Nike, Under Armour, McDavid and Easton. 
 Our positive comp sales trend has continued into the first quarter. All categories are performing well, and our assortments for spring are very strong in both branded apparel and footwear. The equipment area is being led by baseball, and licensed apparel is also doing very well. Our inventory management is consistently improving. We will continue to focus on bringing premium branded products to small markets, being locally relevant and providing superior service. 
Michael Newsome: Thank you, Becky. Next, our Senior VP of Finance will speak with you, Gary Smith. 
Gary Smith: Fourth quarter sales were $190.7 million, a 10.1% increase from the previous year. Fiscal comps were up 7.2%. Gross profit rate increased 85 basis points, and product margin rate increased 52 basis points as age and shrinkage rates improved and we were less promotional. We had a 33-basis-point improvement in occupancy and warehouse leverage.  The company gained 93 basis points of leverage on SG&A as we saw rate improvement in salary and benefit cost, debit card fees and business insurance. 
 Depreciation and amortization was under last year's dollars due to declining leasehold improvement for new stores. The unfavorable tax rate this year was due to the exercise of incentive stock options in the prior year. 
 Operating income as a rate of sales increased 200 basis points to 13.14% and increased in dollars from $19.3 million to $25.1 million. Diluted EPS came in at $0.59 versus last year's $0.44, a robust 34% improvement. A review of some of the highlights on a year-to-date performance shows that comp store sales were up 6.8% versus last year's 9.8%; total sales up 10.2% versus last year's 12%; gross profit was up 117 basis points versus an increase of 159 basis points in the prior year; the expense lines leveraged 54 basis points versus last year's 35-basis-point improvement; and operating income was up 171 bps versus an increase of 223 basis points in the prior year. EPS was up 34% versus a 43% gain last year and $0.55 versus a gain of $0.48 in the prior year.  
 From a balance sheet perspective, the company ended the quarter with $55 million in cash versus $75 million last year with no bank debt. Inventories increased 11.5% over the previous year but up 7% on a per-store basis. We spent $13 million in CapEx for the year versus a $13 million budget. And for the year, the company purchased 1.9 million shares at $68.6 million. At year end, we had approximately $145 million left under the remaining purchase authorization. 
Michael Newsome: Thank you, Gary. Operator, we're now ready for questions. 
Operator: [Operator Instructions] And our first question comes from the line of Sean Naughton with Piper Jaffray. 
Sean Naughton: In terms of the -- just the License business, the NFL business transferring from Reebok over to Nike and New Era, how are you thinking about that particular change as it relates to your business as we go through calendar year 2012? And when do you expect those particular products to begin hitting the store? 
Rebecca Jones: We'll have a small amount of product that will hit in April, but the biggest impact will really come in the third quarter when we set up for the season where we'll be a little bit more -- put a little bit more product in all of our doors. We're going to have a light set to support the launch and be in good shape for that. But it will be the third and fourth quarters where we'll really see the newness really impact our assortments. 
Sean Naughton: Okay, that's great. And then in terms of the comps to start the year, I think there had been some -- you've been driving, I think, 2/3 transactions, 1/3 price. Is that still relatively similar as we start the year? Or have there been any changes inside of the traffic versus the ticket number? 
Jeffry Rosenthal: Yes, it's about the same. 
Sean Naughton: Okay. So relatively consistent. 
Jeffry Rosenthal: Yes. 
Sean Naughton: And then, I guess, Gary, for you, lastly on the -- just on the SG&A, obviously, a nice job in the fourth quarter and nice leverage. Can we expect as we move through 2012 that -- you had some expenses I think on spending on IT last year. Is there an opportunity to potentially leverage those expenses as we go throughout 2012? And is there anything that really prevents you guys from being on the mid-20% range for SG&A on a rate-to-sales basis? 
Gary Smith: Yes, I think our run rates this year will improve a bit over last year. But we're still making investments in the infrastructure. 
Sean Naughton: Okay. So there's still additional investment? Can you just elaborate a little bit on what those investments in the infrastructure may be? 
Gary Smith: Well, certainly, we're still on a high rate for system implementation. We expect to put in an MDO [ph] this year. We need people to support that. We've got labor scheduling coming up. And we've got a bunch of other initiatives when it comes to supporting the business and the inventory. 
Operator: And our next question comes from the line of Sean McGowan with Needham & Company. 
Sean McGowan: A couple of questions for me as well. I guess I'll start with 2 quickies for Gary. Can you talk a little bit about what you think the impact was of the tax refund? Or maybe this is for someone else. You commented that you thought that resulted in some weakness in your same-store sales at the end of January. How much of the pickup so far in the first quarter do you think is a result of that? 
Gary Smith: Yes. Certainly, January was our smallest comp against our least challenging comp from the year before. We were moving at a pretty good rate going through January until we got into the third and fourth weeks. We expected it could have been 1% of comp for the total quarter that moved out of January into February. 
Sean McGowan: That was -- that happened once before. Was it last year or the year before... 
Gary Smith: It happened last year, Sean. 
Sean McGowan: So you're up against the same phenomenon, and it happened even more? 
Jeffry Rosenthal: Yes. 
Rebecca Jones: It shifted almost another week. 
Jeffry Rosenthal: Yes. 
Gary Smith: Yes. 
Sean McGowan: Okay. I just want to be clear on that. And then Gary, again, on the -- just what are your thoughts on the steadiness or cadence of the buyback at this point? And how price sensitive is that going to be? 
Gary Smith: Yes, the feeling here is our stock will be higher next year than it is now. We're in the market on a pro rata basis on a daily basis. And if there's dips in the stock, we'll be aggressive to buy it back. I think this year, we bought back 5.6%. We should be our target initially is to be a little bit south of that number next year. 
Sean McGowan: Okay, that's helpful. And then Cathy, are you getting more discerning in terms of store closings? Like are you raising the bar for what constitutes underperformance and therefore have seen a pickup in the number of stores that are getting closed? 
Cathy Pryor: No, we don't see a pickup in the number of stores closing. 
Michael Newsome: We think it’ll remain somewhere around 2% of the store base. But our new stores are really performing way over pro forma, and we've improved so much, we think there'll be less and less store closings as a percent in the future. 
Operator: And our next question comes from the line of Seth Sigman with Crédit Suisse. 
Seth Sigman: I guess, first, a question on the inventory levels. It looks like running slightly ahead of the sales growth on a per-store basis for the second consecutive quarter. Can you just talk about how you're feeling about your inventory levels at this stage? 
Jeffry Rosenthal: Our inventory levels are in the best shape they've ever been in. Our aged inventory is the best we've ever had, and we feel very confident on where our inventory levels are, especially going against having a great start to this year. And our sales are outpacing our inventory. 
Seth Sigman: Okay. And then just a quick question on systems. Can you just help us better understand the timing of some of the system work that you're doing in fiscal 2013 and when the benefits should actually start to show up? 
Gary Smith: MDO [ph], we’ll start phasing that in the second quarter. I wouldn’t expect to see any sort of financial impact for this year. We'll probably see some of it next year. When it's fully rolled out, we'd expect to see somewhere to a 3% to 5% improvement in gross margin dollars, but that's probably a couple years off before you finally see that. 
Operator: And our next question comes from the line of Dan Wewer with Raymond James. 
Daniel Wewer: Becky, do you think we're at the point where we're seeing the full brunt of the price increases from Nike, Adidas and Under Armour? 
Rebecca Jones: That's really difficult to know whether or not we've hit that level or not. At this point in time, from a footwear perspective, we see it basically about the same as where they said that it would be. And again, when we're looking at a $100-plus shoe, an extra $5 or $10 really is not very impactful to the business. But in regards to whether or not we're going to continue to see price increases, we haven't had really serious conversations with the suppliers, saying that there's going to be additional pressure. 
Daniel Wewer: No, I mean, I guess a logical question to ask is if you're seeing any pushback from your customers from the $5 to $10 price increase? 
Rebecca Jones: We are not. We are not. If the product looks great and it's what they want, they will spend their money for it. 
Daniel Wewer: Second question I had, maybe for Mickey or Gary. In looking at the total revenue growth in the fourth quarter compared to the 7% comp sales gain, I think some were expecting the total revenue growth to be a little bit faster. Was there any shift in the timing of new store openings in the fourth quarter, perhaps later, that could have accounted for the revenue growth not increasing a little bit faster? 
Gary Smith: No. Usually, we're back-end loaded, but we opened more stores this year than we did last year in the fourth quarter. 
Jeffry Rosenthal: Yes, I think the biggest difference, Dan, was really the little bit of the tax shift in the last week of the month that made a difference in the fourth quarter. We were on a really good pace first 2.5 weeks, 3 weeks, and then that last week, it’s such a high-volume week that it shifted a little bit into February. 
Daniel Wewer: Okay. And then I guess the last question I have revolves around whether some of your competitors were using that as an excuse for weaker sales during the fourth quarter. How do you think it impacted EBIT? And given that spring has arrived early for you this year, does it turn into a benefit? 
Jeffry Rosenthal: For us, Dan, if I understand you correctly, with weather and all that other stuff, we liquidated our fleece and outerwear as better than last year and way above plan. I don't know if that was an excuse, but obviously, getting into February, the weather is probably about the same, maybe a little less rain. But I hate to use weather this time. But I feel like we're just positioned very well from what our assortments are at this time. 
Daniel Wewer: I have to ask Mr. Newsome one question. So what is -- how would you editorialize the Alabama customer spending twice as much... 
Michael Newsome: We expected that. I mean, that's just the way it is. 
Operator: And our next question comes from the line of Sam Poser with Sterne Agee. 
Sam Poser: Can you talk a little more about the different systems? You talked about markdown optimization? You have the scheduling of modules and so on. Where are you? How much more can that really add? I mean, as you think about the sort of the gross margin improvement over the next year or so, what kind of gross margin improvement is in the guidance right now? 
Gary Smith: Yes, we think that's another leg on getting us to mid-teen operating margin, Sam. Certainly, when you have 800-plus stores going to 1,000 to 1,500, you need something. And as we have become to have a nationwide footprint, you need something to manage the stores to the individual level. So that's just another building block to getting there. 
Jeffry Rosenthal: Sam, from an investment standpoint, there's so much to do, and it's always changing. Once we do MDO [ph], there's other things out there like space planning. We're also looking at -- we're also putting a time and attendance system in this year. And there'll be plenty of other opportunities that we see. And we see that we'll continue to invest in the systems and then make sure we leverage the ones that we have to get even better than we are today. 
Sam Poser: And then you talked about baseball, Becky. How big -- how meaningful do you think the switchover of the baseball bats is? And how much is it helping? How much do you expect it to help the first -- how big a business is it relative -- is there a percentage this year versus last year that you expect it to grow? 
Rebecca Jones: Sam, we're seeing a really nice increase in our baseball bat business. But the impact of baseball bats is really to the baseball category, not so much to the total. In regards to baseball bats as an overall, it's a double digit -- a healthy double-digit increase. But to our corporate number, it's less than 0.5% that it would impact us. 
Sam Poser: Okay, great. And then the store openings, are there opportunities for more store openings? And looking ahead, do you see bigger opportunities down the road? I mean, in this 1,300-store target, what's the timeframe of that 1,300-store target right now, I guess, would be the better question. 
Jeffry Rosenthal: Sam, we expect to pick up the pace this year, and hopefully, we'll pick it up again next year over this year. We feel very confident that we can open more stores this year. This -- right now as we sit today, we're ahead of last year in the number of deals that we already have done. So we feel pretty good about where we're at. Still having some concern about new store construction. We see some Walmarts, old Walmarts being broken up and some of those type of things. But we're finding lots of opportunities, and we feel really good about it because we're pretty far ahead of where we were last year at the same time. 
Michael Newsome: And Sam, one other thing. Our last 2 years, new stores are overperforming at their pro forma. It gives us a lot more confidence to really go after new stores. We think we can just increase it, like Jeff said. 
Operator: And our next question comes from the line of Peter Benedict with Robert Baird. 
Peter Benedict: Gary, I guess first question for you. Maybe latest thoughts on CapEx for '12 and '13? I apologize if you've already mentioned that. I was late getting on the call. Timing of your DC investments, that's kind of my first question. 
Gary Smith: Our CapEx for next year will be a little more than $15 million. We plan to start moving into the new DC 2 years from approximately now, which would be first, second quarter of calendar 2014 or fiscal 2015 because we need to be out of this building 12/14. 
Peter Benedict: Okay. Good. That's helpful. And then just on the D&A front. I mean, your D&A has been down in dollars last 3 years. Does that trend continue in 2012 at a similar pace as it’s been running? Or does that decline moderate? Or do we start to see that level off and grow at some point? 
Gary Smith: I would expect it to be the same as it's been the last 2 to 3 years. 
Operator: And our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company. 
Anthony Lebiedzinski: Just a follow-up on the previous question. In regards to the next distribution center, what is the expected cost of that new facility for you? 
Gary Smith: Approximately, it will be $25 million. 
Anthony Lebiedzinski: Okay. Got it. Okay. And could you please comment on the trends that you're seeing in real estate costs. Have those changed from the last year or 2? 
Jeffry Rosenthal: From a real estate cost standpoint, we still are getting some favorable deals. And it's pretty much the same as it was last year. We haven't seen it really change that much. And we're still getting some very favorable deals. And we feel pretty good about where we are with that. 
Anthony Lebiedzinski: Okay. And then lastly, I may have missed this. But did you quantify what the comp sales impact was overall from Alabama winning the College Football Championship game? 
Gary Smith: It was about 0.5 points. 
Operator: And our next question comes from the line of Mark Smith with Feltl and Company. 
Mark Smith: First off, can you quantify or talk about your exposure in rising fuel prices? 
Gary Smith: Approximately 10 to 15 basis points. 
Mark Smith: Okay. And then second, tax rate going forward, Gary? 
Gary Smith: We've been under 37 in the last couple of years. But I'd put it at 37.25 to 37.50. 
Mark Smith: Okay. And then Jeff, I just want to make sure that I heard right. You said that you're currently running sales kind of year-to-date up low double digits? 
Jeffry Rosenthal: Yes. 
Mark Smith: Okay. And can you remind us last year in Q1 kind of sequentially month-to-month how the comp trends went? 
Jeffry Rosenthal: Yes. We were up about 8% at this time last year. And we had a great quarter, first quarter. And so it's off back-to-back good Februaries and beginning of March. 
Mark Smith: Okay. And then lastly, Becky, can you comment just on the strong trend that we've seen in running? Without a bad pun, does this have legs? How long can this kind of continue? 
Rebecca Jones: Hard to say how long it will continue, really, in the total. But I would tell you that from the product that we're seeing and the product that's on the floor today, the consumer really is responding well to it. And what we're seeing for the future looks as strong. I think it's going to last at least a couple of years at minimum with the trend that's going right now from a lightweight running perspective. 
Michael Newsome: Yes, I agree with Becky. I think it's got some legs left on it. I'm a 40-year wave guy, and back in the '70s, running started. It was very popular. All through the '70s and early '80s, and I think we're on a roll on this running thing. 
Operator: And our next question comes from the line of Jonathon Grassi with Longbow Research. 
Jonathon Grassi: You talked about finding more opportunities to open stores. I guess, where are these new opportunities coming from? Or are they still the Movie Galleries and Blockbusters? Or is there something new out there that you guys are finding space? 
Jeffry Rosenthal: Well, we continue to look at all different avenues of real estate, and we see some of that still available. But there's still places we can go and put stores. So we feel really good about our strategy to go where we're needed. And we see that there's still lots and lots of opportunity. 
Michael Newsome: Jeff mentioned it. We're seeing some old Walmarts getting chopped up, and we can get a piece of that. But we're seeing locals close and other chains closing stores, too, that’s creating some opportunities. 
Jonathon Grassi: But you're not changing your strategy of, I guess, what you're really looking at as far as the demographic... 
Jeffry Rosenthal: No, not at all. 
Jonathon Grassi: Okay. And then can you talk about your health care cost in 2012 and how that's trending? 
Gary Smith: It's amazing. Last year, our health care costs were under the prior year's dollars, which has probably happened to us twice in 5 or 6 years. We planned for them to get back to a normal run rate. We saw a pickup in the last half of the year being more normalized and probably expect that to continue going forward into next year. So it may have a blip on a year-to-year. But from a dollar standpoint, I don't think it’ll significantly affect us. 
Jonathon Grassi: Okay. And then as far as your inventory related to the Reebok NFL Apparel, is most of that cleared out? Or is there still some of that kind of hanging around? 
Rebecca Jones: We're in pretty good shape there. We took some marks on it just to ensure that we moved through it. And we actually feel very comfortable where that inventory level is at this point. 
Jonathon Grassi: Okay. Great. And just finally, can you just remind us of the revenue distribution by month for the first quarter? 
Rebecca Jones: This past year? 
Gary Smith: I would say March is 5% weaker for us. On a per week basis, February is probably the highest, followed by March. And then April is the smallest month of the quarter. So I would say probably 40% February, 35% March or so, and the rest in April. 
Operator: And our next question comes from the line of Rick Nelson with Stephens. 
Rick Nelson: I’d like to ask you about the operating margin. 12.8% for the year, that's a new record. How should we think about that over the near term and longer term, given the puts and takes with the investments coming up? 
Gary Smith: Becky thinks it will go up. 
Michael Newsome: It may go up this year with 53 weeks. But when we get back to normal, that's a pretty good operating margin. 
Rick Nelson: So do you think it's becoming more of a top line story than an operating margin expansion story? 
Jeffry Rosenthal: We think we can do both. 
Rick Nelson: What do you see -- I know you called the EPS impact of the extra week. What is happening in it in terms of top line? 
Gary Smith: Approximately $20 million. 
Rick Nelson: Also, the inventory turn, 2.5x, which, I think, is a new record for Hibbett as well. What sort of opportunities do you see to enhance that with the systems investments? 
Gary Smith: 2.75x on its way to 3x. 
Rebecca Jones: Oh my word. Let me just jump in there for a second. We do see that there's opportunity to increase our turn, and it's really from our inventory management. It's all about getting down into the details of each category and really working it in that regard. As far as what we carry on the inventory basis by door, it's probably a relatively decent number at this point. But we still have opportunity within each door's assortment to make sure that we're doing the right product for the market. So it's a long-term goal to get our turns up, but it will take us a bit to get to 3x. 
Operator: And our next question comes from the line of Camilo Lyon with Canaccord Genuity. 
Camilo Lyon: So the quarter-to-date comp, the low double digit quarter-to-date comp, could you just give a little bit more color around what's driving that outside of the tax refund shift into February? 
Jeffry Rosenthal: It's really coming from footwear and apparel and even equipment we're running up. But it continues to be a lot in lightweight running from various brands like Under Armour and Nike and Adidas. And so we're seeing a lot of opportunity there. And our apparel sales just continue to be extremely strong. And our accessory business continues to be very strong. So it really is happening across all our major categories. 
Rebecca Jones: Every area is healthy right now as far as their performance. 
Camilo Lyon: That sounds great. It sounds like you're hitting on all cylinders in that regard. I guess my question was relating to what was the tail-off that happened at the end of the fourth quarter that looks like resumes now in the first quarter? So is it that things -- that people just decelerated their purchases of those footwear and apparel lightweight running type of items and then reaccelerated them back into -- as the beginning of the year started? 
Jeffry Rosenthal: No. It was really just a shift in tax refunds. Our customer depends a lot on tax refunds. And we've always been very good on the 1st and 15th of every month, and tax refund is another part of that. So that was really the difference. It really wasn't that all of a sudden they decided to buy and not buy, but it's really on the tax refunds. 
Camilo Lyon: Okay. Would that also explain some of the deceleration in the new store productivity? 
Jeffry Rosenthal: No. We've been performing the last 2 years on our new stores very good. And we're 20% above performance, so we feel very good about where we are. 
Camilo Lyon: Okay. Because it looks like the new store productivity dipped a little bit in the fourth quarter from what the current run rate had been. 
Jeffry Rosenthal: Yes. We just opened 21 stores at the end of January, and that's what made it look that way. But we're very happy with where our new stores are. 
Camilo Lyon: Got it. Got it. Okay. So that would explain it. And then just finally on the real estate side, what would you need to see from the perspective of being able to reaccelerate the new store openings? How could you get to increase your new store opening cadence? What would you need to see from the market? 
Jeffry Rosenthal: Well, we feel a lot more confident that our new stores are really performing at such a high rate. We're still going to stay very disciplined on how we do our real estate deals. But we see lots of opportunity. We're a lot more confident. We're performing in areas much higher than we were before. So we feel really good about where we are today. 
Michael Newsome: New store count has accelerated the last 3 years over the previous year, and we expect it to be more again this year and next year. 
Camilo Lyon: So if some of the credit constraints that are holding back some of the developments in the area that you're in, if those eased, would that give you more confidence to increase that square footage? 
Jeffry Rosenthal: Yes, absolutely. 
Michael Newsome: If banks would start lending money to small-time landlords, that's what would really increase the store count. 
Camilo Lyon: But that hasn't happened yet from what you're seeing? 
Jeffry Rosenthal: Not really. 
Michael Newsome: No. 
Operator: And our next question comes from the line of Jim Chartier with Monness, Crespi, Hardt. 
James Chartier: Could you just go into a little detail -- what do you think is driving your traffic improvement when almost every other retailer is talking about traffic declines, even people that compete in similar categories of sporting goods? 
Rebecca Jones: I think part of what we're seeing from a traffic perspective is that we've done a better job from a marketing perspective. We are doing a lot more target marketing to the consumers that buy specific product. And we're ensuring that whether it's an e-mail or social, from Facebook and Twitter, to our direct mail, that we're very specific the way we're going at it compared to what we used to do. And I think that our message is a little bit more relevant than it used to be to our consumers. We talk about the branded product that we have in-house. We talk about premium product, and we're not all about the sale. We're about, come see what's hot and new at our stores, and that, I believe, is engaging the consumer. 
James Chartier: Do you use a CRM system? And if so, have you been growing that database? 
Rebecca Jones: We have a loyalty program. And we have over 2 million consumers that are part of that loyalty program. We do expect that to grow as we go forward. It's grown substantially in the last 2 years. And we expect it to grow again this year because we have a great support at the store level to ensure that the consumers understand what the benefits are of that program. And we're working in regards to ensuring that everything that we do from a marketing perspective with the loyalty program that it has a decent ROI on it. 
James Chartier: And the tax refund shift, is that just from one week to the next? Or is that kind of spread out over a few weeks? 
Jeffry Rosenthal: It's probably spread out over a few weeks. We're still seeing some tax refunds. Usually on Wednesdays, they've been coming out. And we see definitely a lift in sales the day they come out. 
Operator: And our next question comes from the line of Chris Rapalje with SunTrust Robinson Humphrey. 
Christine Rapalje: I just had a question about the strength that you've seen so far in the quarter. I was wondering if you thought there was any risks there that some of that could be pull-forward demand, given how warm it's been. 
Michael Newsome: Let me speak to that. The weather in February has been almost exactly the same as last year in terms of the average high and the average low. Now the weather in the fourth quarter this year versus last year was about 6 degrees on average higher on the high and the low. So the weather this year as far as the high and low is about the same as last year in February. 
Christine Rapalje: Okay. And then just with the new store opening plan, is that targeted to stay in your current 26-state footprint? And do you see any opportunity to go into new states in the foreseeable future? 
Jeffry Rosenthal: Primarily we'll be in the 26 states. We are looking out a little bit in a few states. But we stay tight geographically and try to stay within a 2-hour drive distance, so there may be a state or 2 added this year. But generally, our growth is going to be in the 26 states that we operate today. 
Michael Newsome: Yes, for instance, Alabama is our most stored state relative to the population. And I could name you another 10 stores we could put in Alabama. So we have a lot of growth in our 26-state area to go. 
Operator: And our next question comes from the line of Chris Svezia with Susquehanna Financial Group. 
Christopher Svezia: Just some color in your low- to mid-single digit comp forecast for the year. Any thoughts by category? Maybe would apparel grow a little bit faster, given what's going on with the NFL? Or any thoughts about that by category? 
Jeffry Rosenthal: I guess what we're looking at, I would think footwear and apparel have the same opportunity to grow. And the equipment will grow but not at the same rate. 
Christopher Svezia: Okay. And then on the -- in the quarter, the Accessory business was pretty strong. How much of that was driven by auto replenishment, if you take the -- I guess the piece -- yes, I mean how much was that driven by the auto replenishment piece? Or you're just seeing just an uptick in demand for key products? 
Rebecca Jones: Our replenishment business continues to be relatively steady with the way that it contributes quarter after quarter to the total in accessories and across the board. I would tell you that the socks business in particular has shown a lot of strength in the last few months. And the Nike Elite sock is a phenomenon that's really driven the business. But on top of that, we've got good branded socks, and the consumer is just responding to it. So we do have a strong replenishment program. As far as a percent to the total business, I'm not prepared to give that number out. But it's not a big change from where it's been. I think it's more about what's hot right now. 
Christopher Svezia: Okay, all right. Fair enough. And Becky, just on the casual footwear business, what are you seeing there? What changes are you making? Just kind of curious what's going on there for you guys. 
Rebecca Jones: As in casual as in sandals or... 
Christopher Svezia: I think you made a reference to the casual footwear business was soft, but you started to see some improvement? 
Rebecca Jones: Lifestyle. Our lifestyle business. Yes, I'm with you now. It was soft in the fourth quarter. And we did see kind of a pullback on that particular consumer. Not really sure other than some of the product that was out there I think maybe was a little too wide in distribution, and there's been some corrections to the marketplace in that respect to where they're pulling back on it. But more importantly, we've seen some fresh product coming to the floor, especially for January, February sales. And with that came a lot of better color, and the customer started responding to that again. So the shift from what -- where it was in the back half of the year, we're seeing some renewed interest from a consumer perspective now that there's a little bit of freshness from a color perspective [ph]. 
Christopher Svezia: Okay. And Gary, for you, gross margins for the year based on your comp forecast. I mean, can we basically think about that being up 30 to 50 basis points? Is that a fair range? 
Gary Smith: I think 25-plus. 
Christopher Svezia: 25-plus. And SG&A, you still expect to get some leverage, roughly equivalent, 10, 20 basis points? 
Gary Smith: If you throw D&A in there, yes. 
Christopher Svezia: Okay. And then lastly, Gary, for you, what are you going to be doing on June 2? 
Gary Smith: Sleeping in. 
Operator: And our next question is a follow-up question from the line of Sean McGowan with Needham & Company. 
Sean McGowan: I just wanted to circle back on a couple of things just to make sure I'm understanding correctly. Overall, would you say that the unusual weather in the fourth quarter was a significant positive or a significant negative? 
Gary Smith: None of the above. 
Jeffry Rosenthal: Yes. 
Rebecca Jones: I don't think it affected us that much because of the kind of product mix that we carry. 
Michael Newsome: Yes. We're primarily in the Sunbelt. And it probably didn't affect us that much. 
Sean McGowan: So some puts, some takes, some categories better, some worse? 
Jeffry Rosenthal: Not really. 
Rebecca Jones: Not really. We had a great season in fleece and jackets. We carried lightweight jackets for the most part. We're not very much into a heavy outerwear business because we don't need to be because of our geographical concentration. But the lightweight business was really good with The North Face, and our fleece business was very good as well. Nike and Under Armour did a great job this year, and we had really good sell-through. 
Sean McGowan: Okay. Good. And then you may have touched on this before, but I don't know if you got detailed on it. The cadence of store openings this year versus last year, did you say it would be about the same? 
Jeffry Rosenthal: I would say it would be very similar. 
Operator: Mr. Newsome, I will now turn the call back over to you for closing remarks. 
Michael Newsome: Okay. Thank you, operator. In summary, I will remind everybody fiscal 2012 was our greatest year in the history of the company on top of 2011, which is now our second greatest year ever. Fiscal 2012 earnings per share increased 34% over fiscal 2011. Fiscal 2011 earnings per share increased 43% over fiscal 2010. We're off to a great start this year, the first 39 days. Our comp store sales are up low double digits, going against pretty strong sales the last 2 years. I believe we'll have another great year in Hibbett. Now why do I believe that? Number one, we are improved as a company internally. Our people are better. Our systems are unbelievably better. We're getting the right merchandise and the right stores and keeping it in stock based on customer wants and needs. And we're full of customer service, which we are very proud of. The last 2 years, new stores are outperforming their pro forma by more than 20%. This gives us a lot more confidence to accelerate our store growth this year and in future years. We can have 1,300 stores in a 26-state area, but the model works in all states. 
 Thanks for being on the call today. And we look forward to speaking with you on May 18 at 9:00 Central Standard Time with our first quarter results. Thank you. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.